Operator: Good morning and welcome to the Innodata Fourth Quarter and Fiscal Year 2014 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Ms. Amy Agress. Please go ahead.
Amy Agress: Thank you, Paula. Good morning, everyone. Thank you for joining us today. Our speakers today are Jack Abuhoff, Chairman and CEO of Innodata; and O’Neil Nalavadi, our CFO. We’ll hear from O’Neil first, who will provide a detailed review our results for both the fourth quarter and the 12 months ended December 31, 2014, and then Jack will follow with additional perspective about the business. We’ll then take your questions. First, let me qualify the forward-looking statements that are made during the call. These statements are based largely on our current expectations and are subject to a number of risks and uncertainties, including, without limitation, that contracts may be terminated by clients; project or committed volumes of work may not materialize; our Innodata Advanced Data Solutions segment, IADS, it’s a venture with minimal revenues that has incurred losses since inception and has recorded impairment charges for all of its fixed assets; we currently intend to continue to invest in IADS; the primary at-will nature of contracts with our Content Services clients and the ability of these clients to reduce, delay or cancel projects; continuing Content Services segment revenue concentration in a limited number of clients; continuing Content Services segment reliance on project-based work; inability to replace projects that are completed, canceled or reduced; depressed market conditions; changes in external market factors; the ability and willingness of our clients and prospective clients to execute business plans, which give rise to requirements for our services; difficulty in integrating and deriving synergies from acquisition, joint venture and strategic investments; potential undiscovered liabilities of companies that we may acquire; changes in our business or growth strategy; the emergence of new or growing competitors; various other competitive and technological factors; and other risks and uncertainties indicated from time to time in our filings with the Securities and Exchange Commission. We undertake no obligation to update forward-looking information, and actual results could differ materially. Thank you. I will now turn the call over to O’Neil.
ONeil Nalavadi: Thank you, Amy. Good morning, everyone. Thank you once again for joining us today to review our financial results for the fourth quarter and financial year 2014. I will start with our full year 2014 performance. Our revenues in fiscal 2014 were $59 million, compared to $64 million in 2013. The decline was primarily attributable to a $1 million decline in eBook revenues from a key eBook customer and the completion in 2013 of a $5.3 million project for another client in our Content Services business. These declines were partially offset by $1.7 million revenues in our Media Intelligence business. Let me now review the segment wise analysis. Content Services was the main contributor to our top line in 2014, with $57 million in revenues, compared to $63 million in 2013. Gross margins in this segment were 32% and operating margins were 8%, compared to 30% and 7% respectively in 2013. Despite the decline in revenues, we maintained our gross and operating margins by managing cost efficiencies and as a result of favorable exchange rates. In our IADS segment, in which we continue to invest new products with the goal of achieving long-term recurring revenues, revenues were $600,000 and we incurred losses of $5.6 million in 2014, compared to revenues of $1.1 million and pre-impairment losses of $6.2 million in 2013. We are pleased to report that we commenced providing Synodex services for a large insurance carrier in November. Our Media Intelligence Segment consisting of MediaMiser and Bulldog products, contributed $1.7 million in revenues or five months during FY2014. We acquired MediaMiser in July and Bulldog Reporter in December 2014. At the end of Q4, MediaMiser products empowered 120 customers including Fortune 1000 companies, small and medium businesses, government institutions and not for profits, by providing real time Media Intelligence to monitoring and analyzing both traditional and social media for brand impressions, competitive trends and operational risks. I will now review the consolidated adjusted EBITDA, pre-tax numbers and net earnings. Our adjusted EBITDA in Content Services was $8.4 million in 2014, offset by EBITDA losses of $5.4 million in IADS and $50,000 in Media Intelligence. Pre tax operating earnings in Content Services were $4.4 million, offset by pretax losses of $5.4 million in our IADS business and $300,000 in our Media Intelligence business. Excluding acquisition related amortization costs Media Intelligence incurred a loss of $50,000. Total company-wide pretax loss was $1.5 million, compared to $7.4 million in 2013. Net losses in 2014 were $970,000 or $0.04 per diluted share, compared to $10.6 million or $0.43 pre diluted share in 2013. The 2013 losses included evaluation allowance of $7.1 million in respect of our deferred tax assets, in addition to the impairment expense of $5.5 million. As we have discussed, our investments in IADS and Media Intelligence, represent our ongoing efforts to expand our portfolio of recurring revenue engagements to achieve growth. In both of these business segments our vision is to provide high-value digital data services to businesses in the context of long-term relationship with clients. In both IADS and Media Intelligence, we are providing our Big Data analytics products that help our customers make better decisions and improve performance with meaningful, relevant and accurate digital data. Here is why these new businesses make sense. First, there is a growing market for relevant and accurate digital data and analytics from all sorts of users. Two, these products leverage our core competencies in creating high-value digital data with a low cost operating structure and advanced technologies. Three, the business models for these new businesses are based on predictable and recurring revenues combined with new addressable market for Innodata. We acknowledge that these new products have both new venture and scaling risk. Jack will talk more about the progress we are making in executing our strategy to achieve growth in a few minutes after I complete my review. I will now review the fourth quarter results, by comparing them with the third quarter on a sequential basis. Total revenue of the fourth quarter was $15.9 million, compared to $14.8 million in the third quarter, a sequential growth of 7%. Revenues from our top three clients as a percentage of revenues, was in the range of 41% to 42% in both quarters. All three segments contributed to our growth in the fourth quarter. On a segment basis Content Services reported $14.6 million this quarter, compared to $14 million in Q3. The increase was driven by higher volumes from a large eBook customer and further ramp up in our new European projects together amounting to $750,000, which was offset by lower volumes and revenues of $150,000 in other projects. Revenues in IADS business were $250,000 this quarter, compared to $100,000 in Q3, as a result of having commenced providing Synodex services in November for a large life insurance client. Media Intelligence contributed $1 million to the top line, ending the quarter with 120 subscriber customers, compared to 113 at the end of Q3. Our retention rate exceeded 90%. These figures in Media Intelligence do not include any revenues or customers from the recently acquire Bulldog Reporter business. Our revenues in Q4 at $15.9 million were higher than our guidance range of $14.5 million to $15.5 million, because some of the volume for our large eBook customer, which we had slated for Q1 2015, came in faster than expected as publishers were anxious to get these titles in the store before holidays. As far as we can anticipate this will lead to lower revenues in Q1, which we have baked into the guidance we will share with you later on the call. Let me now review our gross margins. On a consolidated basis, gross margins in Q4 were $4.3 million or 27% of revenues, compared to $4.1 million or 28% of revenues in Q3. This increase was primarily driven by a $150,000 increase in contribution by our Media Intelligence business. On a segment basis, gross margins in our Content Services business was $4.8 million in both Q4 and Q3, although, our revenues were higher by $600,000. Our costs of sales were higher primarily because of ramp up expenses of $200,000, not covered by revenues in respect of the European projects we recently won. Our Media Intelligence business reported gross margins of $400,000 for three months, or 40% of revenues, compared to $270,000 or 41% of revenues for two months in Q3. Excluding acquisition related amortization expenses gross margins in Media Intelligence were approximately 55% of revenues in both the quarters. Our selling, general and administrative expenses increased marginally to $4.5 million or 28% of revenues this quarter, compared to $4.3 million or 29% of revenues in the previous quarter. The increase in SG&A expenses was primarily due to the inclusion of MediaMiser, for full quarter basis, whereas MediaMiser was only included for two months in Q3. In Q4, we incurred an impairment expense of $400,000 primarily for writing off assets as a result of consolidating two of our India production facilities to achieve efficiencies. This consolidation will reduce our rental and facility expenses by approximately $500,000 per annum, commencing partly in Q2 of this year. Moving down to pretax earnings, we incurred a pretax loss of $550,000 this quarter, compared to a pretax loss of $120,000 in Q3. This quarter’s pretax loss includes the impairment charge I just mentioned. Pretax earnings in our Content Services business was $1 million or 7% of revenues, compared to $1.4 million or 10% of revenues in the prior quarter. Pretax losses in IADS were $1,350,000 in Q4, which is about $100,000 lower than the losses in Q3. Media Intelligence reported pretax losses of $200,000 after taking into account $150,000 of acquisition-related amortization expenses, $15,000 for acquisition expenses relating to the Bulldog Business and $50,000 for the development of a new database product which we hope to launch in Q2 2015. Excluding these expenses, the Media Intelligence segment was profitable in Q4 2014. We had a net tax benefit of $100,000 this quarter as a result of year end true up from transfer pricing adjustments, compared to a tax expense of $300,000 last quarter. Net loss after minority interest was $280,000 this quarter compared to $220,000 in the third quarter. Turning now to our adjusted EBITDA and cash flows, our adjusted EBITDA in Q4 was $1 million, compared to $900,000 in Q3. Our adjusted EBITDA was comprised of $2.3 million from Content Services, offset by a $1.2 million loss in IADS, and a $50,000 loss in MediaMiser. I’ll now review our balance sheet. We had cash and investments totaling $24 million at the end of Q4, compared to $26 million at the end of Q3. Of this approximately $1.7 million was headed in the U.S. and the rest was held overseas by our international subsidiaries. We used $1.8 million of cash this quarter, compared to $2.1 million in the prior quarter. The use of cash included $2.4 million increase in working capital, $500,000 in capital expenditures, including the Bulldog acquisition costs, offset by net EBITDA of $1 million. We expect our Q1 2015 CapEx to be in the range of $400,000 to $500,000. Looking at our working capital, accounts receivables were approximately $10.4 million at the end of Q4, compared to $8.6 million at the end of Q3. In terms of days sales outstanding, our AR balances averaged at 69 days this quarter, compared to 65 days in Q3. I will now turn to our foreign exchange hedging program. At the end of the fourth quarter, we had $19.4 million in outstanding foreign currency forward contracts to hedge our forex exposures. In Q4, the U.S. dollar gained 2% against the Indian rupee and Philippine peso. And based on mark-to-market, this resulted in $300,000 notional unrealized losses on our outstanding hedges. These forward contracts will mature over the next 12 months, and any loss or gains on this contracts will be recognized upon maturity. Let me now review our guidance for Q1. We expect revenues in the range of $13.5 million to $14.5 million. The segment wise break down is Content Services between $12.2 million to $13 million, IADS between $300,000 to $400,000 and Media Intelligence between $1 million to $1.1 million. Content Services was going to be lower as we benefited from higher eBook volumes in Q4 and this is likely to result in lower volumes in Q1. We also have a GAAP of approximately $500,000 from project completions in Q4, combined with the flow of lower volumes in new projects commencing in Q1. This guidance also takes into account the impact of recent dollar depreciation against the Euro and Canadian dollar, which is expected to reduce our Content Services revenues by $250,000 and Media Intelligence revenues by $150,000 on a quarterly basis. This erosion is on account of currency translation as U.S. dollar has appreciated 15% against both Euro and Canadian dollar, when compared to the average exchange rates in 2014. The revenue range that I just provided is below our breakeven level revenues and therefore we expect to incur pre-tax losses of approximately $1.8 million to $2.1 million in Q1. Our breakeven revenues on a consolidated basis, was approximately $16 million per quarter. Segment wise it is $12.8 million to $13 million per quarter in Content Services, between $2 million to $2.25 million per quarter in IADS and between $1.2 million to $1.3 million in Media Intelligence. For the purposes of this breakeven analysis, we have made the following key assumptions. First, we will achieve labor margins of approximately 65% in our Content Services and IADS business. Two, we are excluding acquisition related amortization cost of $150,000 per quarter from our cost structure and also any capital expenditures in IADS, which we are continuing to expense through the income statement. Thank you. And I’ll pass the call over to Jack.
Jack Abuhoff: Thank you, O’Neil. Good morning, everyone. Thank you for joining us today. O’Neil has provided a detailed financial review of the fourth quarter and 2014. I’ll now segway into sharing with you my perspectives on 2015 as we kick off the year and I’ll do this by running through each of our reporting segments, providing my thoughts on where we are now and what we are looking to accomplish in the course of 2015. I’ll start with the Synodex division of IADS. In the fourth quarter, our revenue increased from $70,000 to $200,000 as we successfully launched our Synodex 3.0 solution with the new insurance carrier client we’d announced earlier in the year. We have approximated the value of this contract at $1.6 million per year. We are in the final stages of putting in place new contracts with the large reinsurance clients under which we believe we will achieve in annual revenue run rate of approximately $2 million, taking into account of both, current work with this client, as well as new scope with possible expansion opportunities beyond that. We’re continuing to get a very positive reception to our new Synodex 3.0 product and we’re forecasting a number of additional opportunities closing near term. For example, we’re now in contract negotiations with a leading life insurance company which wants to incorporate our technology into their underwriting environment. We expect this contract will be worth approximately $700,000 per year in combined licensing and services fees. This quite a bit of momentum on the client side to get this closed and the client has assembled an internal task force consisting of IT professionals, product managers, attorneys and underwriters to get it done. Another example, senior management of a leading domestic and international insurer and financial advisor, has decided after extensive testing in numbers crunching and it wants to move forward with Synodex 3.0, we feel that our service comports well with their overall strategic emphasis on big data. They’re currently in contract discussions with this company, as well, and the companies in the process of making final decisions about scope and timing. There are two other smaller companies who have also indicated their desire to start work with us by the end of March. Looking beyond the next couple of months, in terms of what we hope will be the next wave of close deals and industry leading mutual company that has been struggling to keep up with its medical file review as indicated that it wants to proceed with us. They have scheduled the due diligence visit to our production site in March, this client could represent several million dollars in opportunity value for us. In Q4, we also conducted a successful first phase of the Synodex 3.0 pilot with the top five mutual insurers and we’re now engaged in the next phase of this pilot and we’re keeping an eye on what could be a multi million dollar opportunity there, as well. Beyond these clients, we are prioritizing another five companies from amongst the longer list companies with which we are engaged in discussions. In the quarter, and again based on what we’re getting out of that Synodex 3.0, we were quite pleased that five companies have reached out to us to request initial meetings, including a large reinsurer that we met with several years ago. So with all of this activity taking place, I’m feeling confident about the year ahead for Synodex. That said, there will be a lot of careful work required to get these deals closed and timing is always hard to predict. I’ll now turn to the Content Services segment. The challenge with the Content Services business is of course a one-time project based nature of a considerable portion of its revenue stream. As you may recall, we signed letters of intent announced last July, with two divisions, of a large European information company selected us to provide end-to-end content creation and management services. We started work on these engagements late in the third quarter of 2014 and then continued our ramp up in the fourth quarter. In terms of new Content Services bookings, we’ve reported to you in the third quarter that we’d signed a contract worth nearly $350,000 in revenue with a large e-commerce retailer of college textbooks and learnings solutions that’s a key supplier to Amazon, this account continue to strengthen in the fourth quarter. We created 50 online study briefs and solution sets to assist college students in critical subject areas, including sciences and mathematics. We will be creating 50 more study briefs in Q1 2015. The total booking value of our engagement with this client has crossed $500,000. In 2015, we also expect to help this client build out its capabilities in mobile technologies and EPUB. In the fourth quarter, we also had few notable wins from existing customers. We doubled our current technology work with leading non-profit global rates in licensing company that serves in publishing industry. Our engagement is now worth to $250,000 annually with a total contract value of $750,000. For one of our large clients, $5 billion information company we saw into recurring revenue contract worth $240 annually with the three year term, providing ongoing development and support for its MarkLogic content management platform. We were also looking at ways of teaming with our clients to pursue market opportunities. We have entered into an agreement with leading education company that provides instructional curriculum services, assessments and technology for the pre-k, higher education and professional learning markets, under which we will team with their learning solutions professional services division to jointly sell our combined products and services to North American trade and professional associations. We have had several joint engagements already supported to RFP submissions and advance conversations with another leading North American association about building a digital delivery content platform. As O'Neil mentioned, we were anticipating a relatively weak first quarter in our Content Services Segment, as a result of approximately $500,000 of projects ending in the fourth quarter, approximately $400,000 of eBook revenue having been shifted for from first quarter 2015, into fourth quarter 2014 to accommodate publishers and weakness in the Canadian dollar and the Euro relative to the U.S. dollar. That said we are expecting an improved second quarter based on our eBook revenue forecasts and our general pipeline. I will now turn to our Media Intelligence Solutions business. Given that the business is almost entirely recurring revenue based, all new bookings essentially go to growth. There’s little replenishment required. In Q4, we booked approximately $350,000 of annualized contract value comprised of seven new customers with an average value of $50,000 each and another $40,000 of up sales and additions. Key account wins included one of the Canada’s largest banks to recurring annual contracts in excess of a $125,000 per year, per subscription to Mediamiser Enterprise and associated monitoring. We also had new clients in tourism in the Canadian federal government, as well as significant subscription with large U.S. retail bank with a contract value of over $120,000 annually. In the fourth quarter, we continued with our plan to add MediaMiser staff to our Manila and Noida offices. We now have 20 new MediaMiser staff in our overseas locations. The team in Manila is assisting in production work related to media monitoring and database research. And the team in Noida is helping with research and development code review and testing procedures. This foundation overseas will help increase the scalability of the business and improve margins further. In the fourth quarter, MediaMiser successfully acquired Bulldog Reporter, a well regarded Oakland, California based media intelligence company purchasing its assets through bankruptcy sale. Bulldog Reporter has been a fixture in the PR community for over 30 years, but shut down briefly in October 2014 before MediaMiser brought it back online. We believe the acquisition will provide MediaMiser attractive cross-selling opportunities, as MediaMiser seeks to expand into the U.S. market. Bulldog Reporter’s media intelligence products reach over 70,000 U.S. based PR and communications professionals every day. We have successfully reopened Bulldog Reporter’s Oakland office and rehired the key employees responsible for its successful trade journals, databases and industry awards program. I’ll now open the line for questions, after which I’ll wrap up with some final comments. Operator, we’re now ready for the questions.
Operator: Thank you. [Operator Instructions] We will take our first question from Tim Clarkson with Van Clemens Capital.
Tim Clarkson: Hey, couple of questions guys. Jack I was just wondering, have you in your attempt to get new business, do you have the new features that you developed the last year as part of your package in trying to get the new business?
Jack Abuhoff: We do Tim. And clearly, the work that we did last year in completely incorporating feedback regard from over 16 companies in life insurance has been instrumental in the success that we’re now seeing. The other thing that’s working for us is where it is getting out. We stared with our first large company under the new platform in November and life insurance is a very closely-knit community where it is getting out and people are getting the fact that we can be very helpful to them in their underwriting operations. As evidenced by the fact that we’ve got deals that are accelerating, number one. And number two, we’ve got many big companies that are actually calling into us asking us for meetings. So I’m feeling very good about it right now. I think we did the right things last year and we’ve got a strong product.
Tim Clarkson: And in terms of the actual execution is that for your first customer has it turned into pretty basic standard deal or you’re just having the information as it comes and it’s relatively routine or are there problems?
Jack Abuhoff: No, we are finding that initially back in November, there were some problems getting the integration right, getting some necessary IT work done in their side, but once we’ve got that out of the way it’s been very, very smooth. And you never know it will be, you know when you start something, when you turn the key on something for the first time, there’s always some lingering doubt, no matter how confident you’re that, whether things will go smoothly. But I’m happy to say that they went very smoothly and the client has been very happy with the results that they’re getting using our data.
Tim Clarkson: Is the energy – are they getting a decent gross margin on this business, or is that just two small volume to know yet.
Jack Abuhoff: No, our margins are intact, again the reason for confidence, we’re targeting with the margins that we get on this newer to be comparable with the margins we get off the best of the kinds of work that we do. And that appears to be intact and we see further opportunities for innovating and increasing on efficiency from beyond where we are today.
Tim Clarkson: Okay, just one more question, this is for ONeil. On the financial end, you’re projecting your revenues essentially to drop from $16 million to $14 million, fourth quarter to first quarter. I would think that, if your gross margins are 35%, 40% that you have a loss of gross margin of $700,000, $800,000 that you have about $1 million loss, how come you’re projecting almost $2 million loss?
ONeil Nalavadi: The gross margins in Q4 were 27%.
Tim Clarkson: Okay.
ONeil Nalavadi: That’s – one of the second thing is at this scale of operation stand the operating leverage plays a pretty important – significant impact on the bottom line. We are maintaining our production capabilities and not adjusting that. So as a result of that the impact of lower revenues goes straight to the bottom line.
Tim Clarkson: Okay, okay. You’ve mentioned something about CapEx and expensing it off, how does that play into the losses. CapEx…
ONeil Nalavadi: The guidance that we’d given excludes any CapEx in IADS.
Tim Clarkson: Okay, okay. Do you expect significant at CapEx sir?
ONeil Nalavadi: It has not been significant so far, but we are – we may incur something in the month of March, it all depends on what the client requirements are and how much we can optimize it. So right now, I don’t have a number to provide on that.
Tim Clarkson: Okay, I’m good – I’m done, thank you.
Jack Abuhoff: Thank you, Tim.
Operator: And next we’ll go to Vincent Colicchio with Noble Financial.
Vincent Colicchio: Hi Jack, you’re doing a nice job, continuing to show improvement on your recurring revenue businesses, which is nice to see. On the Content Services side, I’m curious if you can help us model out what we expect for the year, should we expect to see it continue to turn lower and in the below that was in 2014 or could we expect them be a flat or a better year?
Jack Abuhoff: Sure, Vince, thank you for the question. I think as you know, one of the reasons that we’ve been investing heavily in some of these other businesses is because of the choppy, inherent nature of the Content Services business. It’s essentially dominated by a few very big players on the customer side and it has the large project based component and timing is tough there. So it’s inherently difficult to forecast. We’re going to – we’re continuing to build that business, we’ve got some new strategies, new ideas, we’ve got new things going on with customers, we’ve got some completely new opportunities that we’re in discussions with our largest customer about. So we’re enthusiastic about the business, but we hate the fact that it’s choppy and we hate the fact that it’s our forecast.
Vincent Colicchio: On Synodex has anything changed in the competitive front, sort of how unique do your customers think your capabilities are? It’d be nice to, interesting to hear color on that.
Jack Abuhoff: We’re hearing lot of great things. The customers generally speaking are very interested in big data, they are very interested in being able to understand that portfolios better and mind their data better, which they cannot due today, but they will be able to do and can do with our solution. They are very interested in efficiencies and they are very interested in being able to underwrite more quickly and even improve underwriting. Improve what they refer to as mortality and their ability to accurately underwrite the risk that’s inherent in the medical file. And our solution goes to all of that. From a competitive perspective, they are telling us that there is no other solution on the market that does what we do, the way that we do it and they find that compelling.
Vincent Colicchio: Thanks, guys.
ONeil Nalavadi: Thank you.
Operator: And next we’ll go to Benj Gallander with Contra The Heard.
Benj Gallander: Hi, I’ve been a shareholder for a while and I have to congratulate you guys on how you manage to just about breakeven on receding revenues but, this is my, one of my big concerns is you taking over companies, but revenues keep on going down overall. So this obviously is not a good trend. And I’m just wondering if you really see revenues going up quite a bit in the next couple of years?
ONeil Nalavadi: Yes, thank you for the question. I think that clearly, we’ve known for longtime, we’ve talked about for a longtime that there is an inherent mismatch between what public investors want to see in the companies they are investing in and the nature of our Content Services business, that the Content Services business by it’s very nature lumpy and tends to be dominated in good times by very large one of projects. We’ve got a few more of those in sight, but they are what they are. So we’ve been investing very heavily in things that we think are differentiating, highly differentiating and that bring with them recurring revenue that creates the type of visibility that we do not have in the Content Services business. So my prediction for the Content Services business is that it continues to be what it is. It continues to be a good business for us, it will be somewhat unpredictable and it will be lumpy. But we do a good job for our clients and we believe that we will continue to earn their trust and see new engagements coming. In terms of growth, I think the new businesses that we’re investing in have huge growth potential. We’re seeing that now in terms of how we’re managing late-stage pipeline in the Synodex investment. Like we’ve made the right investments last year, we’ve got differentiating products we’ve got a lot of people interested in that. That should bring us growth. MediaMiser is, it’s just a jam, it’s got wonderful technology, wonderful customer references, great ideas for new products and a very ambitious, talented management team. So we’re expecting growth from there too and of course it has almost an entirely recurring revenue base, subscription like revenue base we have a great retainage. So I’m very confident that growth will come from those things.
Benj Gallander: Okay and then the recurring revenue of course is, we all know it’s exceedingly important that is again having followed and invested in this company for number of years, I’m wondering if it wouldn’t be much better as a part of a larger enterprise and given time to look at strategic alternative. Any thing going on there, any thoughts on that?
Jack Abuhoff: Sure, now well our Board is always looking at strategy and you know how should we be best positioned and how do we best create value? And I think, especially as we see some of the work that we’ve been over the past couple of years, now starting to bear fruit for us and creating return on that investment. It will be important to continue to look at that, how do we best create shareholder value under those circumstances? So you certainly have my assurance that that’s always part of the Board agenda and will continue to be part of the Board agenda as we move forward into 2015.
Benj Gallander: Okay, about $50 million in sales with another organization that can then strip out some of the costs, if you guys, I perceive there is a lot of more value in this company, especially with the potential for the growth, but may be its time to look at putting the company up for sale. But I do appreciate your work and hope that might be considered.
Jack Abuhoff: Thank you for you thoughts.
Operator: [Operator Instructions] And it appears there are no further questions.
Jack Abuhoff: Thank you, operator. So I’ll close I guess with a quick summary. Our most significant fourth quarter accomplishment was the successful launch of our Synodex 3.0 platform. And we have been producing data now on this new platform since mid-November for our first large client on the platform and they are real happy with results they have been getting and it seems they have been spreading the word, life insurance is a close knit industry and it seems good news travels fast and we had five potential clients seek us out for meetings in the past couple of months and that gives couple of big prospects. More importantly we’ve got several contract negotiations going on right now with new Synodex customers that we expect could close in the first quarter or early in the second. And on top of that, there are some large potential clients who have expressed their desire to integrate Synodex 3.0 into their operations. These would likely be the next wave of contract closings. In Content Services, our large eBook client requested that we accelerate production of certain publisher lists, to some of the production we were anticipating for Q1 moved into Q4 resulting in higher revenues in this quarter than we were expecting. We have offset, unfortunately is that we’ll see lower revenues in Content Services next quarter. In part, as a result of this, in part, as a result of some Q4 project ends and a devalued Euro as O’Neil explained. That said we see improvements likely coming in the second quarter. In our Media Intelligence Segment, we acquired Bulldog Reporter with its daily outreach 70,000 U.S. public relations professionals, we think Bulldog Reporter provides MediaMiser really a great way of opening doors in the U.S. as it seeks to expand beyond the Canadian borders. In 2015, we will be focused on harvesting value from all the work that we did last year in creating the new Synodex 3.0 platform and in establishing our new Media Intelligence division. So thank you, everyone for joining us on today’s call and for your continued support and your continued interest. Thank you.
Operator: And that concludes the presentation. Today’s conference is available for replay by dialing 719-457-0820 or 888-203-1112 and the pass code is 2972181, again those numbers are 719-457-0820 or 888-203-1112 and the pass code is 2972181. That concludes today’s conference. You may now disconnect.